Operator: Excuse me, everyone. We now have Sean Reilly and Jay Johnson in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of the company's presentation, we will open the floor for questions. [Operator Instructions] In the course of this discussion, Lamar may make forward-looking statements regarding the company, including statements about its future financial performance, strategic goals, plans and objectives, including with respect to the amount and timing of any distributions to stockholders and the impacts and effects of general economic conditions, including inflationary pressures on the company's business, financial condition and results of operations. All forward-looking statements involve risks, uncertainties and contingencies, many of which are beyond Lamar's control and which may cause actual results to differ materially from anticipated results. Lamar has identified important factors that could cause actual results to differ materially from those discussed in this call in the company's first quarter 2025 earnings release and its most recent annual report on Form 10-K. Lamar refers you to those documents. Lamar's first quarter 2025 earnings release, which contains information required by Regulation G regarding certain non-GAAP financial measures was furnished to the SEC on a Form 8-K this morning and is available on the Investors section of Lamar's website, www.lamar.com. I would now like to turn the conference over to Sean Reilly. Mr. Reilly, you may begin.
Sean Reilly: Thank you, Raisa. Good morning all, and welcome to Lamar's Q1 2025 earnings call. In the first quarter, we delivered our 16th consecutive quarter of acquisition-adjusted revenue growth with an increase of 1.1%, both local and programmatic revenue were higher, while national was slightly down year-over-year. Recall that Q1 2024 had an extra day of revenue due to leap year, and the 2024 Super Bowl was in Las Vegas, our largest airport market and one of our largest billboard markets. With those headwinds in mind, revenue growth for Q1 2025 came in about as we had anticipated. As noted in the release, we are still pacing to reach our previously provided guidance for full year AFFO per share. We are obviously keeping a close eye on the broader economy, but out-of-home has historically proven to be a resilient medium in times of uncertainty, and we are not seeing any cancellations or hearing anything from local or national customers that suggest we're headed for trouble. To the contrary, I just returned from our industry confidence in Boston, and our larger agency customers are telling us that it is steady as she goes. Okay, back to Q1. Categories of strength included services, retail, construction, and oil and gas, while gaming, restaurants and amusement showed relative weakness. Local regional sales were up about 1%, while national was down slightly, as mentioned. Programmatic was again a bright spot with year-over-year increases of about $2 million, which translated into nearly 30% growth. Overall, digital billboard revenue was up 4% and accounted for approximately 30% of our billboard revenue. On a same board basis, digital was slightly up. On the M&A front, we have been busy. In Q1, we closed 10 deals for about $22 million. We've since closed several more, including the acquisition of a nice portfolio with a good digital footprint in the Northeast last week. Our year-to-date spend is now north of $70 million, and based on our pipeline, I'm confident that we will exceed the $150 million in spend that we projected in February. Finally, as you saw in the release, we have repurchased $150 million of our stock at an average price a little over $108. This effort began in March and concluded through a 10b5-1 program in April. Our decision to do this is evidence of our conviction that out-of-home has never been stronger and that at Lamar, we are particularly well-positioned from a product, market portfolio and balance sheet perspective to build on our industry leadership status. With that, I will turn it over to Jay to walk through the numbers. Jay?
Jay Johnson: Thanks, Sean. Good morning, everyone, and thank you for joining us. Our first quarter results exceeded internal expectations across revenue, adjusted EBITDA and AFFO. Growth in AFFO continued in the first quarter, which was nice to see, given AFFO grew almost 10% in Q1 a year ago. Acquisition-adjusted revenue increased 1.1% and from the same period last year, following a very strong first quarter in 2024 when pro forma revenue growth came in north of 5%. Our billboard regions experienced low-single-digit top-line growth with the exception of the Southwest, which was essentially flat year-over-year. The company's airport and logos divisions outpaced the broader portfolio, growing revenue 2.8% and 2.3%, respectively. Acquisition-adjusted consolidated expenses increased 2.6% in the first quarter, which was slightly better than anticipated and should be in the 3% range for the full year. Adjusted EBITDA was $210.2 million compared to $211.9 million in 2024, declining 80 basis points in the quarter. Adjusted EBITDA decreased 1% on an acquisition-adjusted basis, while adjusted EBITDA margin remained strong at approximately 41.6%. Adjusted funds from operations totaled $164.3 million in the first quarter compared to $158.2 million last year, an increase of 3.8%. Diluted AFFO per share grew 3.9% to $1.60 per share versus $1.54 in the first quarter of 2024. Local and regional sales accounted for approximately 82% of billboard revenue in Q1, growing for the 16th consecutive quarter. Q1 of 2021, a COVID-impacted quarter, was the last in which we saw a year-over-year decline in local and regional sales. This consistent performance exhibits the resilience of our core local advertising business and differentiates the company from our peer group. On the capital expenditure front, total spend for the quarter was $29.9 million, including $9.4 million of maintenance CapEx. And for the full year, we anticipate total CapEx of approximately $195 million, with maintenance comprising $60 million. Moving to our balance sheet. We have a well-laddered debt maturity schedule with no maturities until the term loan B in February 2027 followed by the company's AR securitization later that year in October. At quarter-end, we had approximately $3.2 billion in total consolidated debt, and our weighted average interest rate was 4.6%, with a weighted average debt maturity of 3.6 years. We ended the quarter with total leverage of 2.85 times net debt to EBITDA as defined in our credit facility, which remains amongst the lowest level ever for the company. Our secured debt leverage was 0.83 times, and we're comfortably in compliance with both our total debt incurrence and secured debt maintenance test against covenants of 7 times and 4.5 times, respectively. For the full year, we expect total leverage at or below 3 times, with secured leverage consistent as well at or below 1 times net debt to EBITDA. Our LTM interest coverage through March 31 was 6.6 times adjusted EBITDA to cash interest. While we do not have an interest coverage covenant in any of our debt agreements, we do monitor this important financial metric. The healthy coverage exemplifies the strength of our balance sheet and the ability to service our debt. As a result of the focus on our balance sheet, the company is well-positioned and we have resumed more normal acquisition activity with an investment capacity of well over $1 billion. In addition, we have the ability to deploy this capital, while remaining at or below the high end of our target leverage range of 3.5 times to 4 times net debt to EBITDA. Our liquidity and access to capital remains strong as the company continues to enjoy access to both the debt and equity capital markets. As of March 31, we had just over $490 million in total liquidity, comprised of $36.1 million of cash on hand and $455 million available under our revolving credit facility. We ended the quarter with $286 million outstanding on the revolver and $223.5 million drawn on the company's AR securitization. As Sean mentioned, we began taking advantage of dislocation in the capital markets during March with repurchases of our Class A common stock and continued into April. To date, we have repurchased 1.39 million shares at approximately $108 per share. The repurchases are accretive to AFFO with returns well in excess of the company's cost of capital. We have $100 million remaining under the share repurchase program, but plan to seek Board approval to increase that authorization back to its historical $250 million level. In this morning's release, we affirmed our full year AFFO guidance of $8.13 to $8.28 per share. Cash interest in our guidance totaled $152 million and assume SOFR remains flat for the balance of the year. As I touched on earlier, maintenance CapEx is budgeted for $60 million, and cash taxes are projected to come in around $10 million, which excludes any taxes related to disposition of our interest in Vistar Media earlier this year. And finally, our dividend. We paid a cash dividend of $1.55 per share in the first quarter. Management's recommendation at the upcoming Board meeting will be to declare a cash dividend of $1.55 per share for the second quarter as well. This recommendation is subject to Board approval, and we will communicate the Board's decision following the Board of Directors' meeting later this month. The company's dividend policy remains to distribute 100% of our taxable income. And for the full year, we still expect to distribute a regular dividend of at least $6.20 per share excluding any required distribution resulting from the Vistar sale. Again, we are pleased with our financial position and strong balance sheet, which should help mitigate any uncertainty that could arise in the broader economic environment. I will now turn the call back over to Sean.
Sean Reilly: Thank you, Jay. I will cover some familiar earnings metrics and then open it up for questions. In terms of relative regional strength and weakness, our Central and Midwest regions showed relative strength in Q1, while our Southwest region, which, of course, includes Las Vegas, and our Gulf Coast region showed relative weakness. As I already mentioned, programmatic grew almost 30% in Q1, and it continues to perform well as we move into Q2. Digital overall also continues to perform well as we move through Q2. In terms of sales mix for Q1, 82% was local/regional, while 18% was national programmatic. I mentioned categories of relative strength. Those included services, which was up 11% in Q1; retail, up 6%; building and construction, up 15%. Categories of relative weakness included restaurants, down 4%; and gaming, down 9%. With that, let's open it up for questions.
Operator: [Operator Instructions] We'll take our first question from Cameron McVeigh with Morgan Stanley. Your line is open.
Cameron McVeigh: Hey, good morning.
Sean Reilly: Hey, Cameron.
Jay Johnson: Good morning.
Cameron McVeigh: I wanted to ask if you're still expecting the 3% organic revenue growth for the year. And maybe how you would expect the quarters to trend based off your current visibility? And then, secondly, in your view, Sean, what do you think is causing the national softness this quarter? Or was that all comp related? Thanks.
Sean Reilly: So, just a little color on our pacings and where we are today relative to that goal that you mentioned of being up approximately 3% for, let's call it, the midpoint of the range-ish. Right now, we are 75% booked to that goal as we sit today. So, the visibility is pretty good. It's not perfect, but I'd say that's pretty good. That's pretty much on par with where we would be every year about this time. The national weakness is -- it's been with us for a little bit. Fortunately, as programmatic grows, which is a national piece of our book, it kind of makes up for some of that national weakness. You've heard me say it before, some of it's just some large customers that have changed their buying habits. I pointed out insurance. As I mentioned in my comments, conference we had in Boston was actually very bullish. And I came away from it feeling better about how national is going to perform as we move through the year.
Cameron McVeigh: Got it. Thank you.
Operator: Our next question comes from Jason Bazinet with Citi. Your line is open.
Jason Bazinet: Thanks. I guess I can't think of too many times in the past where investors are quite convinced we're going to go in economic slowdown. And every company that reports, including yours, indicates that there is no weakness going on. So, my question is, does this period of time, can you draw any analogies to what this feels like in terms of the disconnect between investors and what you're seeing on the ground? And if investors are indeed right, what's the early sort of indicator that you get? Is it cancellations, or is it more nuanced than that? Thanks.
Sean Reilly: Yeah. I think you've heard me say this before, typically, it's our shorter-cycle sale that could be the canary in the coal mine. So, we look at how digital, which is our shorter cycle sale, is performing, how it's performing relative to the overall footprint. And the news there is solid. So that gives us some confidence as we sit today. There was a moment in time in -- I guess, it was -- I can't remember whether it was '24 or '23 -- I can't remember when were last together, and we were talking about recession, and the question I was getting was well, how do your verticals -- how do they perform when you go into a recession? And of course, I'm still getting those questions, except now they're more like how do your verticals perform when you have a tariff war, which I've never been through a tariff war. But right now, again, it's -- all I can say is it's basically steady as she goes.
Jason Bazinet: That's great. Can I ask one follow-up question?
Sean Reilly: Sure.
Jason Bazinet: Maybe I'm wrong about this, but I feel like the sort of legal vertical has become far more prominent today than it was in the past. Is that a fair characterization?
Sean Reilly: Yeah, absolutely. So, we break it out as services. And that category is approximately 20% of our book and legal services makes up approximately 50% of that. So, legal services have grown to, give or take, 10% of our book.
Jason Bazinet: Okay.
Sean Reilly: They're very -- I'll say this about our lawyer friends. They are very savvy in the way they use our medium. They're very good at it. They're very good at buying in the right places and buying in bulk. They keep their presence up all year, and it's working for them.
Jason Bazinet: That's great. Thank you for the color.
Sean Reilly: Yeah.
Operator: Our next question comes from David Karnovsky with JPMorgan. Your line is open.
David Karnovsky: Thanks. Sean, you noted you're busy on the M&A front. I just wanted to see if you could kind of dig into the landscape a bit. What type of deals are available at the moment? And I don't know, if you can frame how to think about the inorganic contribution to revenue growth should you execute on that full $150 million? And then, can you just update us on the expectation for expense growth for the year? I think last time you had framed it around 3%. Thanks.
Sean Reilly: Yeah. So, we're still pacing around that 3% expense growth. Right, Jay?
Jay Johnson: Yeah, correct.
Sean Reilly: We're pretty much there. I think we're going to be well north of $200 million in acquisition activity by the time we close out this year. We've got one that I can't mention on the phone call right now, but we're really excited about over here. So, yeah, it's going to be a good contributor. And I think we'll be able to give you more color on the inorganic contribution in August.
David Karnovsky: Thanks.
Sean Reilly: Yeah.
Operator: Our next question comes from Daniel Osley with Wells Fargo. Your line is open.
Daniel Osley: Thanks. Good morning.
Sean Reilly: Good morning.
Daniel Osley: So, following up on your commentary on national, what are some of the ways that you can address the continued weakness there outside of general programmatic growth? And then, how should we think about the pace of digital conversion throughout the remainder of the year?
Sean Reilly: On the digital conversion question, we're still pacing to meet our goals something north of 350 deployments. National has been a bit of a quandary for us. We have sometimes big customers, there can be a turnover in a CMO, and they want to make a change. And so, they'll pull out their out-of-home spend and maybe go to digital, but it works the other way, too. For example, I had a great visit with the CMO of Cracker Barrel at the Boston Conference. And they seem to have successfully turned the corner on their business and are telling us that they're going to plus up a little bit on their buy. So, it can ebb and flow. As you've probably heard me say many times, the local dollar tends to be very steady and the national dollar tends to be a little more fickle. But at the end of the day, it's been my experience that if you smooth out the cycles, they grow at roughly the same pace.
Daniel Osley: Thank you.
Operator: [Operator Instructions] We'll take our next question from Jonnathan Navarrete with TD Cowen. Your line is open.
Jonnathan Navarrete: Hey, good morning.
Sean Reilly: Hey, Jonnathan.
Jonnathan Navarrete: Hey. So, you kept your 2025 AFFO per share guidance unchanged despite repurchasing approximately 1.4 million shares through April. Does this imply that your absolute AFFO dollar expectations have declined, or is there another offset that I'm not considering?
Sean Reilly: You got a little garbled on the last part of that question, but I'll let Jay hit the AFFO per share.
Jay Johnson: Good morning, Jonnathan. We repurchased those shares late in the quarter. And just from a conservative perspective, we haven't included that in the full year guide. So, we still anticipate that even outside of those share repurchases that we would be affirming AFFO guidance.
Jonnathan Navarrete: Okay. All right. Thanks. The second one is, although revenue increased year-over-year, EBITDA dipped slightly. Can you provide any additional color on the primary drivers of this expense growth during the quarter and specify if there were any notable one-time items that we should model going forward?
Sean Reilly: Yeah. I'll let Jay hit that one as well. But keep in mind, we are going through an enterprise conversion that has elevated expenses here at corporate. But Jay, do you want to hit that.
Jay Johnson: And there were a couple of things, Jonnathan, that were, what I would call, sort of one-time. On the sales commission front, we ran a sales contest to kind of make up for some of the headwinds in Q1, so that was kind of elevated. Health insurance continues to be an elevated costs, and I think you're hearing that from most corporates. And then, we had some one-time expenses that came through in Q1 in a couple of our outdoor regions that we don't expect to continue going forward. We did beat our expectations in Q1. And again, for the full year, we still anticipate acquisition-adjusted consolidated expenses to come in around 3% as budgeted.
Jonnathan Navarrete: Got it. And just for my last one. So, we have some detail on the Premier Outdoor asset acquisition. Could you give us some more color on the asset profile of the 10 acquisitions that you did during the first quarter? Thank you.
Sean Reilly: Sure. It's the same old fill in the activity that you're familiar with. These are very predictable acquisitions. They're not large in and of themselves, but they add up to be quite accretive as we move through the year. I'd like to characterize them as high-quality, requalified assets that are within our existing footprint. Jonnathan, you still there?
Jonnathan Navarrete: Yes, I am. Thank you for the response.
Sean Reilly: Yeah.
Operator: It appears we have no further questions at this time. I'll turn the program back to Sean Reilly for closing remarks.
Sean Reilly: Well, thank you all for listening, and we look forward to visiting again come August.
Operator: This does conclude today's program. Thank you for your participation, and you may disconnect at any time.